Operator: Good afternoon, and welcome to the Lakeland Industries fourth quarter fiscal year 2015 earnings conference call. [Operator Instructions] Before we begin, parties are reminded that statements made during this call contain forward-looking information within the meanings of the Securities Act of 1933 and the Securities Exchange Act of 1934. Forward-looking statements are all statements other than statements of historical facts, which reflect management's expectations regarding future events and operating performance and speak only as of today, May 18, 2015. Forward-looking statements are based on current assumptions and analysis made by the company in light of its experience and its perception of historical trends, current conditions, expected future developments, and other factors it believes are appropriate under circumstances. These statements are subject to a number of assumptions, risks and uncertainties and factored in the company's filings with the Securities and Exchange Commission, general economic and business conditions, business opportunities that may be presented to you and pursued by the company, changes in law or regulations, and other factors, many of which are beyond the control of the company. Listeners are cautioned that these statements are not guarantees of future performance and the actual results or developments may differ materially from those projected in any forward-looking statements. All subsequent forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by these cautionary statements. At this time, I would like to introduce your host for this call, Lakeland Industries' Chief Executive Officer Christopher J. Ryan. Mr. Ryan, you may begin.
Chris Ryan: Thank you. Good afternoon to you all, and thank you for joining our fiscal 2015 fourth quarter and year-end financial results conference call. We are going to provide brief opening statements on the status of operations and on our financial results for the quarter and full year. The call will then be opened up so that we may respond to your questions. Now I’d like to discuss our operating strategies and the progress that has been made, along with our view of our objectives as we move forward. Fiscal year 2015 was remarkable on many fronts, including significant progress in raising awareness of the Lakeland brand worldwide: two Time Magazine pictures and multiple publication and news references to our garments and improving our financial performance and fiscal health. Among our global initiatives, we announced our determination to exit Brazil, which has been losing money for three years, during which time it has caused material hardships throughout the company. Elsewhere around the world, we experienced revenue growth in the U.S., U.K., Canada, and other countries as consolidated revenue for the year reached $100 million, an improvement of over 9% from fiscal 2014. This also marks the highest level of sales in six years, during which time we built back our lost DuPont sales in the U.S. that had been about 80% of the company’s total revenue, or $77 million, and before the demise of our Brazilian operations, which had contributed as much as $15.7 million for our international revenues in 2012. It is important to emphasize these distortions in our revenue composition, because it masks the true growth of the company and the execution by our management team and global workforce outside of Brazil. In the fourth quarter of fiscal 2015 alone, we reported an increase in sales over the prior year of more than 19%. With the removal of our Brazilian operations from the fourth quarter of each year, our top line increased 24%. This improvement reflects our traditional organic growth, along with the first full quarter of contributions from sales of protective apparel sold as a result of the Ebola outbreak. We believe we have found a way to exit Brazil business which will enable us to enhance our focus on the areas of growth throughout our otherwise expanding global operating footprint and further improve our overall performance. I will address our exit from Brazil in a moment. Beyond the traditional growth we have been experiencing, our sales in the fourth quarter relating to protective apparel used to combat the Ebola outbreak will similarly impact the first and second quarters of the present fiscal year. This positive influence contributed to the company reporting fourth quarter gross margins as a percentage of revenues at the highest level in our history. The fourth quarter gross margin of 37.5% significantly surpassed the record-setting third quarter gross margins of 34.3% and our operating expenses as a percentage of revenue, excluding Brazil in the fourth quarter, decreased by 270 basis points year over year, which demonstrates our ability to effectively manage costs amid a significant manufacturing capacity expansion and the significant additional legal accounting and operating expectations working toward our exit from Brazil. Reflecting our improving outlook, we were pleased to have raised $11.1 million in October through an offering of our common stock. The net proceeds from this offering were used to reduce debt. We ended fiscal 2015 by reducing our total debt by nearly 40% from the end of the prior year, including the elimination of all of our most expensive 12% PIK debt. In turn, the reduction of interest service will contribute to our efforts to further improve profitability and cash flow. Lakeland Industries recorded sizable increases in cash flow or adjusted EBITDA as well as net income, although these improvements were aided and sometimes partially offset by items which are one-time in nature, primarily related to our exit from Brazil and early extinguishment of debt. The common denominators are that we ended the year in a materially improved financial condition and demonstrated the strength of our global product line and manufacturing capabilities. The company’s cash flow is expected to be further bolstered by the tax sheltering afforded from the tax deductions relating to our exit from Brazil. Now I’ll talk about some of the developments that have significantly influenced our turnaround and overall improvements in our business. As many of our followers and shareholders know, Lakeland Industries was very much involved in the recent healthcare crisis of epidemic proportions, being Ebola. It’s the nature of our operations and the products we supply that puts us in the crosshairs of many natural and manmade disasters, so while we have been growing much of our revenues from continuing operations of between 8% to 10% a year, every few years, we experience a more significant upturn due to a crisis situation. From September 11 to SARS in China and Canada, Hurricanes Katrina and Sandy, to the H5N1 Avian flu, to the BP oil spill in the Gulf of Mexico, Lakeland Industries stands tall to take on these challenges and to our benefit, reaps many rewards. The most recent situation of significance has been the Ebola outbreak in Africa. I’d like to address the situation and speak to what we have experienced thus far and anticipate in the future. On the Ebola crisis, we were pleased to note that earlier this month, Liberia had been declared Ebola-free. The World Health Organization made such a declaration, marking the end of an outbreak that infected as many as 400 new victims a week at its peak. The disease, however, is still, to this day, spreading in Sierra Leone and Guinea, though at a slower pace. According to WHO statistics, more than 11,000 people have died from the virus, with about half of them in Liberia. From inception of this outbreak, Lakeland Industries stepped to the forefront. In response to increasing demand for specialty field seam protective suits to be worn by healthcare workers and others being exposed to Ebola, Lakeland began late in the third quarter of 2014 to increase its manufacturing capacity for these garments, which include proprietary processes for specialized seam sealings, a far superior technology for protecting against viral hazards than non-seam sealed products. We accelerated our purchasing and machinery to accommodate increased production levels and remain within budget of under $1 million in total worldwide capital expenditures for the 2015 fiscal year. We also made advanced purchases in the third and fourth fiscal quarters for a total of 2 million yards of viral barrier material used in the cutting and sewing of ChemMAX and MicroMAX suits. As previously disclosed, we had experienced significant interest globally for our ChemMAX and MicroMAX protective suits. Orders have been received from government agencies around the world as well as other public and private sector customers. Certain of these contracts required weekly delivery guarantees or shipments throughout the first calendar quarter of 2015. The aggregate orders won by Lakeland are believe to have resulted from the Ebola crisis amount to over 1 million suits, with additional orders for other products such as hoods, foot coverings, and gloves. Lakeland started shipping such orders only in October. To accommodate this order flow, we increased production levels by hiring and training new staff and accelerating spending on equipment and materials. Monthly production capacity for sealed seam ChemMAX and MicroMAX protective suit lines was increased by nearly 50% from August 2014 prior to Ebola-related product demand to October 2014 and further increased by an additional 100% to that level in January of this year. We presently have the capacity to make 300,000 ChemMAX suits per month, or a million MicroMAX suits per month, depending on the end garment requirements for sealed or bound seams, among other features. Meanwhile, we made certain to provide sufficient production capacity for purchases by the company’s industrial customers for non-Ebola related purchases, and we continue to service these customers in the normal course of business. We can reduce our capacity as needed, which is a function of allocating manpower throughout our various product lines. From the Ebola outbreak, we learned a lot and confirmed what we already knew. We learned the value of being opportunistic both in terms of seizing business orders when seemingly unrealistic deliveries are requested, as well as raising capital when the market is receptive and you have a good use of proceeds that above all will enhance shareholder value. We confirmed that maintaining high standards for product quality and controlling the manufacturing process can be differentiating assets, and we learned the incredible importance of being prepared and believe we owe to the communities we serve to reiterate this warning. In its humanitarian efforts as reported in the international business publication Financial Times, Bill Gates warned that the world will need to react more quickly next time there is a deadly outbreak similar to Ebola, arguing the disease would have spread more widely were it not for “a bit of luck.” The remarks were made by Mr. Gates as he published the annual letter for the charitable foundation he runs with his wife, Melinda, which outlined a series of ambitious goals for improving the lives of people in poor countries by 2030. According to the Financial Times, the billionaire philanthropist praised the U.S. and other countries for providing aid to the affected countries in West Africa but said, “The speed of those resources becoming available wouldn’t have been adequate if this had been more infectious.” He noted that Ebola almost spread to Nigeria, but then the resources got focused and they made sure it got quenched. Nevertheless, significant loss of life was experienced. Mr. Gates said that “Now that the number of new Ebola infections is falling, countries and aid agencies must learn how to respond faster next time by ensuring that lists of volunteers are available more quickly.” He added, “There are many pathogens out there that are much worse, even more infectious than Ebola.” It is safe to say that Lakeland Industries has made the list of those to call on in time of, and in preparation for, emergencies, which brings me to the preparedness spending that represents a second pool of potential purchasers that may be evident within 9 to 21 months from now. This is part of preparedness strategies and accompanying spending by governments and healthcare organizations around the world. We see this coming to fruition similar to the spending on first responder apparel in the years that followed September 11. A new bill by President Obama requested $6.2 billion for fighting Ebola at home and in Africa. This is indicative of the second pool of spending we anticipate, but we view as being incremental to the traditional organic growth that we have been experiencing on our regular product lines. More specifically, in February of this year, President Obama’s office issued a fact sheet: Progress in our Ebola Response at Home and Abroad, which is available online. While there are multiple indicators for where garments such as those made by Lakeland could be a factor, there’s a specific reference: “procure PPE for strategic national stockpile,” among other items to be funded within the $1.7 billion to be allocated to the Centers for Disease Control, CDC, alone. From this amount, we believe the Department of Health and Human Services has received nearly $200 million in new funding to enhance state and local healthcare system preparedness for Ebola. The funding also helps states establish up to 10 Ebola type treatment centers in the country. Lakeland Industries is actively engaging government health agencies as well as public and private hospitals in an effort to make our products available to them. It’s without question that our financial performance in the recently completed fourth quarter of fiscal 2015 and the first half of fiscal 2016 will be materially and positively influenced by Ebola business related contracts. However, excluding Brazil, our financial results were markedly improving without the Ebola business. As I’ve been saying for over 18 months now, the company is in a long term sustained turnaround, which has been playing out for the last two years and has two more years to play out further. Our exit from Brazil, as well as our ongoing operational improvements, is expected to further drive enhancements in our quest for continued profitable growth. To address our exit from Brazilian operations, we previously disclosed and provided an in-depth description of this process, so I will only summarize on this conference call the surrounding circumstances and current status. At our Brazil subsidiary, we have been reducing losses amid years of declining sales. We have been exploring strategic alternatives for this business and determined that despite our ability to reduce operating losses, exiting the business will provide a more meaningful tax advantage that will enhance our cash flow as compared with future projections for continuing operations. As part of its exit strategy, the sale of the Brazilian operation through a current officer of the Brazilian subsidiary, subject to negotiation and entry into a definitive agreement, has been approved by the company’s board of directors. The sale would involve the assumption of a substantial amount of liabilities by the buyer and additional funding from the company. Approval for the company’s exit plan for Brazil is currently pending from its lender, which we expect to learn of in less than 30 days. Commencing with its first fiscal quarter 2016, ended April 30 2015, historical and future financial results from the Brazilian operations will be reflected as discontinued operations. This entails the reclassification of all the financial results of the Brazilian operations within the consolidated financial results of the parent company and a restatement of prior periods to reflect the same treatment. Again, the net result is that our shareholders will be able to better recognize the improved performance of our ongoing operations and benefit from the tax advantages which will enhance our free cash flow. While Lakeland Industries does not provide guidance for its future financial results performance, we presently have sufficient visibility and confidence in delivering continued improved operating results in the current fiscal year, which began February 1, 2015. We expect improved traction for our consolidated global businesses in fiscal 2016, excluding the discontinued operations in Brazil, with improved performance and sales, operating profit, net income, and free cash flow. That concludes my remarks. I will now pass the call over to our CFO, Gary Pokrassa, to provide a more thorough review of the company’s financial results for the fourth quarter and year-end.
Gary Pokrassa: Thank you, Chris. The following addresses my review of the fourth quarter and the full year to date in FY15, but before I get into that, I just want to point out that there’s one typo in our balance sheet in the press release. Don’t get too excited. The legal fees in Brazil are $64,000, not $64 million. We forgot to drop the three zeros. We will try and correct that. So as far as revenue growth, Q4 sales worldwide were $26.5 million this year and $22.2 million last year, an increase of 19.4%. Including Brazil, sales were $25.3 million this year compared with $20.4 million, an increase of 24%. Year to date sales were $99.7 million this year and $91.4 million last year, an increase of 9.1%. Worldwide sales excluding Brazil were $93.4 million this year compared with $84.1 million last year, an 11% increase. As far as margin improvement and expense management, the Q4 gross margin worldwide was a record 37.5% compared to 28.2% last year. Excluding Brazil, gross margin increased from 29.8% last year to 37.7% this year. Year to date, gross margin was 33.9% compared with 27.2% last year and excluding Brazil, gross was 33.9% this year and 29.9% last year. Q4 operating expenses worldwide increased by $1.1 million but decreased as a percent of sales to 29.2% from 29.9% last year. Operating expenses for Lakeland worldwide, excluding Brazil, increased by $700,000. As far as significant increases in operating income and adjusted EBITDA, the Q4 operating income increased to $2.2 million compared to an operating loss of $400,000 last year. Excluding Brazil, operating income was $3 million this year compared to $300,000 last year. Year to date operating income was $5 million compared with a loss of $400,000 last year. Excluding Brazil, operating income was $7 million in FY15 compared to $4 million last year. Q4 adjusted EBITDA worldwide was $2.9 million compared to $1.4 million last year and excluding Brazil, adjusted EBITDA was $3.4 million this year, $1.6 million last year. Adjusted EBITDA for FY15 was $8.5 million this year, $5.6 million last year, and excluding Brazil, adjusted EBITDA was $9.9 million this year, $7.9 million last year. As far as net income, net income this year included a noncash charge of $2 million net of a $300,000 tax or $0.35 a share net of tax. [Indiscernible] Q3 for the early extinguishment of the subordinated debt, $600,000 net of a tax of $400,000 or $0.10 a share for a noncash charge for the equity compensation relating to the change in the performance level of the restricted stock to the maximum performance level. That was $0.08 a share. And for tax on a dividend from China and various foreign tax adjustments, the early extinguishment charge consisted of writing off a regionally issued discount or OID and unamortized fees. Net income further includes a $9.5 million tax benefit in the U.S. from Brazil or $1.53 a share for the full year. Without Brazil, and without the above items, the EPS for FY15 would have been $0.78. Q4 net income this year includes a $9.5 million tax benefit from the U.S. or $1.35 a share for Q4 and Brazil losses of $0.10 a share, excluding this tax benefit. Q4 EPS without Brazil and excluding the tax benefit was $0.36. The per-share amounts of the $9.5 million are different to Q4 and FY15 due to different weighted average shares used for Q4 and the full year. Q4 net income was $11.3 million or $1.60 a share versus a net loss of $1.6 million or $0.27 a share last year. Brazil net income this year was $6.7 million including the $9.5 million tax benefit or $1.08 a share, and it would be a loss of $0.47 a share without the tax benefit compared with a net loss of $6 million last year or $1.05 a share last year. We completed the PIPE equity raise of $11.1 million in Q3. We strengthened our balance sheet. Cash and equivalents decreased by 4% from $7 million at the end of Q3 to $6.8 million at the end of Q4, [but an increase by] 48.5% since the beginning of the year. We paid off the subordinated debt. We reduced our total debt outstanding from the beginning of the year. Paying off the subordinated debt is accretive to EPS by $0.04 a share for Q4 and is expected to add $0.16 a share in FY16, including reduction in the senior debt balances. Stockholders’ equity at the end of fiscal 2015 increased by 42% from the end of the prior year. The book value per share is now $8.97 at January 31. I’m also introducing new information in the press release. I will now give free cash flow calculations for all periods presented, which is defined as EBITDA less cash payments for taxes and less capex. One other point. I’ll be getting on a plain to Brazil tonight, and will be in Brazil the rest of the week. If anyone needs to talk to me or discuss anything with me, I’d appreciate it if you would call Chris Ryan directly in my absence and let him pinch hit for me. And that concludes my remarks. I’ll turn the call back to the operator to begin the Q&A session. Operator?
Operator: [Operator instructions.] Our first question comes from Alex Fuhrman at Craig-Hallum Capital Group.
Alex Fuhrman: Congratulations on a great quarter and much more importantly congratulations on the news coming out of Liberia, I mean, clearly that’s – Lakeland played a major role in making that happen and that’s great certainly great to see the progress that they have made over there. The first question I have for you is you mentioned in your prepared remarks that there’s been new customers acquired during the Ebola crisis and a lot of them are starting to purchase other products from you. You mentioned gloves and other items like that. What else are these new customers starting to buy? And from your perspective, how many of these customers could just be regular everyday kind of customers over the next five, ten years, versus more just kind of emergency, crisis type customers?
Chris Ryan: What we’re seeing outside of West Africa itself is you see a little bit of stockpiling by government agencies around the world. They could buy more. They may not buy more. It all depends on their exigencies. But what we have seen or what we hope to see next year is really stockpiling by the U.S. government and hospitals. And that may be followed in Europe, and it may be followed to a lesser extent in other countries in the world that have experienced pandemics like this. For example, China with SARS. So in the future, yeah, we hope to be able to connect up to government agencies and medical type clients that we have not previously served. So it’s something that will be ongoing probably for a year or two.
Alex Fuhrman: I guess building on that, how many cities in the U.S., by your own estimation, do you think are appropriately ready to deal with Ebola versus really need to be ramping up? And I guess similarly, as you look at the rest of the developed world and the developing world, are there regions that stand out to you as being particularly unprepared, where you think you could have a big impact over the next two or three years?
Chris Ryan: Nobody in the United States is really ready for a pandemic, neither the hospitals nor the government. That’s the point of the Obama bill, is to stockpile and actually be ready for a pandemic illness, which probably won’t be Ebola, but it could be something airborne like SARS, which is much more infectious than Ebola was, or is currently. Where we’re going with this in the United States, the Health and Human Services has designated some 60 hospitals as Ebola centers, and the rest of the hospitals in the United States have to be prepared to accept pandemic-type infections into their emergency room, identify them, and then ship them out to these 50 or 60 hospitals which will be prepared to handle a pandemic crisis. So that’s what’s going on in the United States, and we’re following that closely. The other areas we’re gonna look for is probably Europe, to do somewhat similar things, perhaps the EEC as a general block, or individual countries, which would be more likely be France and the U.K. But as far as the developing world, they usually don’t do something until it’s started. But you know, China is the type of country, having been through SARS, that’s really gonna be prepared. And I suppose they’ll be upping their preparedness in the coming year. A country that would really be devastated by an infectious disease, which really needs to get going on this, is India. And we have been talking to some of the healthcare people in India, but their revenues and the ability to finance it is a loss less than in a developed country. Around the world, it’s generally true the developed countries don’t have the money, and the developed countries do. The developed countries generally prepare, and the undeveloped countries usually don’t.
Alex Fuhrman: And then lastly, if we could just touch on some new product, I think in the past we’ve spoken about a more green version of the ChemMAX One suit. Just kind of wondering what the timeline will be for some of these new product launches, and then are these products that you’re going to be marketing primarily to existing customers, or are these tools that you’re really looking at to help you reach out to new customers?
Chris Ryan: On some of our new products, green products, we’re looking for introductions next autumn. I think it’ll be a completely new product to our existing customer base, and that’s where we’re really gonna go with a lot of these new products. One product that’s doing pretty well, that’s actually growing as we speak, is an Arc Flash related protection product that most of the utilities are buying, and the utilities are a big market. Power transmission is one of the biggest safety markets in the United States, and the utilities are doing well these days, not paying that much for oil, so they’re somewhat flush with cash. And this is basically a new regulation that OSHA’s passed that they’ve got to have these protective garments. But on the green side, we hope to introduce a disposable garment that basically melts in water, so it’s very, very green, unlike all the other disposable garments that we make. Those are two examples of new products that we’re introducing or have introduced, and we’ll probably announce a few more in a couple of months.
Operator: The next question comes from Doug Ruth at Lenox Financial Services.
Doug Ruth: Hi, congratulations, Gary and Chris on a terrific report, I appreciate the details. Are you giving any information about a backlog?
Gary Pokrassa: No, we’ve never disclosed that.
Doug Ruth: Okay. We’re reading about a new epidemic now about the bird flu. Can you maybe comment about that?
Chris Ryan: My comment currently will be that the investment in our platform to build and deliver suits for Ebola put us in a strategic position to handle large scale orders any time a pandemic biological threat becomes evident, both in reacting to a shortage in our normal industrial markets and to help with any supply to pandemic outbreaks. We can simply move faster because of our manufacturing expertise in this area, to react without the high cost normally associated with building up capacity or finding contractors like our large competitors have. There’s been a lot of news about Ebola outbreaks, and it may or probably will be very significant in the coming months. And it may go on for a lot longer than most people think, because the birds migrate both in spring and come again in fall.
Doug Ruth: Could you maybe give us a little bit of detail as far as where the orders came from? We know the three biggest markets are the U.S., China, and other foreign. Was there any one area that seemed to record more revenue and earnings growth than another market? In general would be fine.
Gary Pokrassa: The U.S., U.K. and China are the main contributors to our revenue and profits. No change. They were, they have been, and they’ll continue to be.
Doug Ruth: What about the revenue from some of the foreign countries? Was that higher than you maybe had anticipated?
Gary Pokrassa: The U.K. certainly was. Argentina actually made a profit. Not much, but better than brackets around the number. So Argentina had a reasonable quarter. Chile is doing well. Canada rebounded a bit. Canada had a good strong quarter. So outside of the three main U.S., U.K., and China, other than Brazil, we’re pretty much clicking on all cylinders.
Doug Ruth: And the profits were up in China year over year?
Gary Pokrassa: Yes, sir.
Doug Ruth: And how are we doing in Mexico? Anything new to report there?
Chris Ryan: We’re basically setting up our selling operation there. We’re revamping the manufacturing facilities to be able to respond quickly to Mexican demand. We see Mexico as one of our probably biggest upsides in the next coming years. It was nicked a little bit by the price of oil dropping, because Mexico’s a big oil producer, but the economy down there really looks like it’s going to boom for the next four or five years. And of course, the price of oil will probably come back in one to two years, so it’s just a short term slowdown on that side. But Mexico really looks good.
Doug Ruth: And do you feel like you have enough capacity at this point, or are you still thinking about further expanding the capacity?
Chris Ryan: In Mexico, we have plenty of capacity. As you know, about two years ago, we almost doubled the size of the building. So we’ve been filling out the building with people, training them. They’re about ready to really explode in terms of the ability to manufacture more when the sales are there in Mexico. And they should be showing up fairly soon in Mexico.
Doug Ruth: The company has done everything that investors could ask. You increased the sales, you increased the margins, and you’re taking care of the problem in Brazil. We’re very grateful for what you’re doing, and thank you for an excellent report. And thank you for answering my questions.
Operator: The next question comes from Peter Muckerman at Raymond James.
Peter Muckerman: The majority of my questions have been answered. I guess the only thing that kind of popped into my mind here a little bit was the rainy season in Western Africa is about to begin, and that is when Ebola really kind of took off, because I guess it makes it much harder for responders to track and get to these outer lying villages or whatever. But anyway, I was just curious, from the people possibly on the ground that maybe you’re talking to, I guess my question is, is this Ebola thing in Western Africa completely curable? I know that you can only speculate on this. Is it something that’s going to kind of linger? In other words, it only takes one case for spreading to kind of get out of hand. And I’ve been following several websites, the CDC and the WHO, and the SOS International, and my personal sense is that the reporting on the numbers is not very accurate between the three websites. Not that that’s really meaningful, but it seems like it’s very hard to get a clear picture of exactly what is going on over there. So that’s the only reason I ask. Thank you.
Chris Ryan: Well, you know, most of the governments, including the U.S. government, put a kibosh on all reporting about Ebola around mid-November to late-November, simply because I think it was embarrassing most of these governments, that they looked totally incompetent in their inability to deal with it. As far as the monsoons go, yes, it’s going to make it much tougher. It is still presenting in Sierra Leone and in Guinea because they’re much more difficult to get to than Liberia. Liberia has a big port and it’s a smaller country. So it can explode at any time, but it’s not likely, simply because they are aware that it’s there, they have marshalled a lot of assets to go after it. But the monsoons can spread it quickly, simply because the virus can live for a couple of hours, and if it can live for a couple of hours, it can live for a couple of hours in running water down the streets. So we’ll see what happens. In all likelihood, they’ll be able to probably put an end to this by autumn, but you cannot necessarily say there’s not going to be another outbreak, particularly if some people travel to a place like Nigeria, where it’s highly populated.
Peter Muckerman: Just out of curiosity, have you all increased your sales staff?
Chris Ryan: Yeah, we have over the last couple of months. We’ve increased a few people in the United States and China. And we’re going to be looking at increasing sales operations in other countries, like Australia. So we will be increasing our sales staff over time, as, you know, basically meeting revenue, profits, and expenses, and balancing them out.
Operator: [Operator instructions.] There are no further questions. I will turn the call back to management for closing remarks.
Chris Ryan: We appreciate your participation in Lakeland’s fiscal 2015 fourth quarter and year-end financial results conference call. As we are committed to delivering value for our shareholders, we believe this is best achieved for Lakeland Industries through the continued implementation of strategies for effectively managing its balance sheet, controlling expenses, and capitalizing on long term global growth initiatives. Thank you again, and goodbye.